Operator: Good morning. I will be your conference operator today. At this time, I would like to welcome everyone to the Carlisle Companies Incorporated Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I will now turn the call over to Mr. David Roberts, Chairman, President and CEO of Carlisle Companies. Sir, please go ahead.
David Roberts: Good morning and welcome to the Carlisle’s second quarter 2011 conference call. On the phone with me are Steve Ford, our CFO and Kevin Zidmal, our Chief Accounting Officer. We provided slides for your convenience and they can be found on our website under the Investor Relations tab titled Presentations. The slides will provide you with the backup data that is being presented in today’s call. As we are prepared to get started, please look at slide two, titled forward-looking statements. We encourage you to review this slide before making any investment decisions. Now, turning to slide three, as in the first quarter, our second quarter sales were up 27%, 14% of our growth was organic, 12% was the result of the Hawk acquisition, and slightly less than 1% was FX. Organically, we continue to see strength in the Construction Materials business, Interconnect Technologies, and Braking businesses. The growth experienced in our Transportation Products and FoodService segments were driven by price increases that were implemented to offset rising raw material cost. Companywide, EBIT was 33% in the quarter. Our EBIT margin percentage in Construction Materials was 13.2%, down 160 basis points. Frankly, we consider 13.2% margin as good performance considering what raw material was doing during the quarter. Margins in Braking were 16.2%, up 510 basis points and margin within Interconnect Technologies were 16.3%, up 670 basis points. Margins were flat within Transportation at 3.3% and down 190 basis points of FoodService to 8.4%. Our earnings per share from continuing operations were $0.87, up 40% over 2010. Tuesday of last week we announced we entered into an agreement to purchase PDT, a German manufacturer of single-ply EPDM roofing. PDT will add approximately $110 million to $115 million annually in sales and if we close by mid-August as planned, we’ll realize about $25 million to $30 million of those sales in 2011. This acquisition provides our Construction Materials business the manufacturing foothold and a distribution channel in Europe not only to sell the existing PDT products, but also our current Construction Material products. Slide four is the sales bridge, which illustrates the $183 million increase we enjoyed in the second quarter. 10% of our growth came from volume, 12% came from the Hawk acquisition, 4% from price, and slightly less than 1% was FX. We look at slide five. It details our margin bridge for the quarter. Raw material had a 4.6% negative impact on margin. We were able to offset approximately 70% of the raw material cost increases with price. Aiding the increase in margin was volume, COS savings and the acquisition of Hawk. Our margin dollars grew $21.4 million from $64 million to $85.5 million for a 33% increase. This increase occurred despite intense raw material pressures we encountered during the quarter. The intensity of raw material prices has lessened a bit in the latter part of the second quarter, with the rate of cost increases slowed rather than abated. We have not seen any significant reductions in our cost of raw materials. The future is uncertain as to what the remainder of the year holds as we are unsure of the slowing of cost increases is just the pause before they head upward again of if they are leveling out at this range. Our segments that had the highest raw material dollar impact incidentally which was $36.5 million was our transportation product segment and our construction materials segment. Turning to slide six, we begin the review of business segment by business segment. Starting with Construction Materials we had an excellent growth quarter at 19% as re-roofing demand remained strong in the quarter, included in that 19% was 2.5% price growth. This is the first quarter we had seen any price growth in CCM. You may recall we had negative price in Construction Materials in the first quarter of this year. CCM EBIT margin, or margin was up 6%. We are not getting any leverage we would expect in our 19% sales growth and the reason is basically raw materials which were negative $23 million in the quarter and $34 million for the year. As our factories are all performing at a high level of efficiency, we did see increases in our raw materials, EPDM was up 35%, carbon black 24%, and TPO resin 10%. Let’s switch to Transportation Products, slide seven details our sales and margin performance in the quarter. Our sales were up 6% led by price of 9%. We did see higher unit volume in agricultural and power sports markets offset by lower demand in outdoor power equipment and construction markets. Our margins remained over the quarter and we were down sequentially 390 basis points. Margin was impacted by the start up inefficiencies at new Jackson, Tennessee plant and product mix between OE and aftermarket. You will also see the slide that natural rubber was up 44% while synthetic rubber was up 52%, raw materials were up $13 million in the second quarter on top of a significant raw material cost increase in the first quarter. I mentioned on our first quarter conference call that Jackson startup expenses for the year will be approximately $2 million, but today we’re forecasting those will increase to about $6 million. Bringing online has taken longer than we had planned and the production efficiencies have been lower and the scrap rates have been higher than we were planning for as well. In this segment, our challenges in the third quarter and fourth quarter will continue to be rising raw material costs and startup inefficiencies at Jackson. Slide eight details our sales and profit performance in our Brake and Friction business. Our sales were up 356% driven not only by the acquisition of Hawk, but by the organic growth within our existing Brake and Friction business which was 33%. The other component of Brake and Friction story is margin performance. Our operating margins were 16.2% up from 11.1% last year. This business segment continues to perform at a very high level as global demand for product continues to increase and our execution of the Hawk integration activities is well ahead of our pre-acquisition time schedule. Slide nine is a review of our Interconnect Technologies business. Sales were up 15% with aerospace growth from legacy aircraft up 20% and military growth up 8%. We are starting to see an increase in chip sets for the 787 and our aerosol business with up 70% driven primarily by Delta Air Lines outfitting their regional jet fleet with Wi-Fi. EBIT was up 95%, a 670 basis point improvement despite the fact that our key raw materials gold, silver and copper continued to increase in price during the quarter. Our EBIT margin has exceeded our corporate goal of 15%, finishing the quarter at 16.3%. This was record margin performance territory in this segment. The startup of our new plant in Cerritos, California has been nearly seamless and the expansion of our St. Augustine plant is on track to be completed by the end of the year. Both facilities will provide the capacity needed to meet the increasing aerospace demand. On slide 10 you will see the results of our FoodService business. Our core FoodService business was up 11% aided by 3% effective price increases. Healthcare continues to experience soft demand with sales down 9% in the quarter. The segment also uses raw materials that are oil-based, so consequently our margin declined from 10.3% to 8.4% quarter-over-quarter was impacted by raw material. Raw material costs have increased at a rate higher than our effective price increases. This market remains extremely competitive in passing along price increases at level equal to raw material increases has been challenging. As I said during the first quarter call, I do not see any dramatic improvement in this business over the remainder of the year. We need a healthy healthcare market, traffic back in restaurants and new restaurant being built to see return to revenue growth. I expect sales to continue to be flat and margins remain under pressure throughout the year unless raw material cost subside. I will now turn the meeting over Steve who will walk us through the balance sheet, cash flow statement and working capital slide. Steve?
Steve Ford: Thanks Dave. Good morning. Please turn to slide 11 of the presentation. Our balance sheet remains strong with the debt to capital ratio of 26% and we have almost $370 million of availability under our revolver as well as $100 million of cash on hand, leaving us well positioned to continue to focus on our growth objectives. We intend to fund the PDT acquisition using approximately $60 million of cash on hand and the balance by draw against our revolver. Turning to slide 12, for the first half of the year our operations provided $13.7 million of net cash as our accounts receivable increased by almost $180 million from year end due to increase in demand and the seasonality of our Construction Materials and Transportation Products’ operations. We remain keenly focused on free cash flow generation and currently expect to convert cash at or above 100% for the full year. Turning to slide 13, for the quarter working capital as a percentage of sales was 21.7% as compared to 21.4% in the second quarter 2010 and 26.4% in the second quarter 2009. And with those remarks I’ll turn the call back over to Dave.
David Roberts: Thanks Steve. Let’s go ahead and open the lines for questions please.
Operator: (Operator Instructions) And your first question comes from Peter Lisnic with Robert W. Baird.
Peter Lisnic – Robert W. Baird: Good morning everyone.
David Roberts: Good morning Pete.
Peter Lisnic – Robert W. Baird: I guess first question on Construction, the plus 16 or so, plus 17 on volume, can you give us a little bit of color as to re-roof trends versus new construction trends realizing the new construction price small piece of the pie?
David Roberts: Yeah, Pete. In the quarter we think it was about 80% re-roofing, 20% new. First quarter, if you recall, we were 85 and 15. So, we’ve seen a bit of an increase in the new construction buildings. But, still not to where we were obviously three years ago.
Peter Lisnic – Robert W. Baird: Okay. And then if I look at the margin in that business, you are getting price, but the commodity cost impact was I guess stronger than at least we thought. But, on the positive of the spectrum getting price, so understanding your comments about uncertainty, but what’s the likelihood or can you give us some color on at what point we might start to see price cost at parity in that business?
David Roberts: Yeah, I would hope that we would start to see it get closer in the third and then into the fourth quarter. We were chasing raw material up during the first two quarters of the year. We are starting to see what we think is a more rationale pricing environment among our competitors and that’s when we started to see – actually started to see price in the second quarter. I would hope that we get very close to parity certainly by year end and perhaps see some of that in the third quarter and then more of it in the fourth quarter.
Peter Lisnic – Robert W. Baird: Okay. And then getting to the parity, how much are you assuming in terms of price realization to kind of get there?
David Roberts: Do you have that?
Steve Ford: Yeah, for the full year, Pete, we are looking at almost $40 million of price for construction.
Peter Lisnic – Robert W. Baird: Okay.
Steve Ford: Again, most of that is coming in the second half of the year. And for the second of the year, we do think we will be able at parity.
Peter Lisnic – Robert W. Baird: Okay. And all right, so that assumes price around 30ish million in the back half of the year. Okay and then just on Jackson going from $2 million to $6 million how much of that was realized in the second quarter in terms of the start up cost?
Steve Ford: Between 4 and 5 of it and really, it was a combination of start up costs and just some sort of plant inefficiencies.
Peter Lisnic – Robert W. Baird: Okay. And presumably then, those are all behind you, say a pretty good visibility that the second half we should start to see a more normalized margin there business with new plan up and running?
David Roberts: Well, keeping in mind, though, Pete, is that the second half of the year is generally our softest year in that business it really tails up in June from volume standpoint and then we have to wait until we get to late November early December before we see volumes come back. I would think that the remainder of that $6 million will occur in the third quarter and then we should start to see some improvement in to the fourth quarter.
Peter Lisnic – Robert W. Baird: Got it. Okay. That is very helpful. Thank you for your time.
David Roberts: You are welcome.
Operator: Thank you. Your next question comes from Ivan Marcuse with NorthCoast Research.
Ivan Marcuse – NorthCoast Research: Hi guys. Thanks for taking my question.
David Roberts: You are welcome.
Ivan Marcuse – NorthCoast Research: For the PDT business that you bought, are margins of profitability similar to your business now and is the seasonality on similar to it?
David Roberts: Yes. We think the seasonality would be very close to what we have in our Construction Materials business today. Margins are actually are very good in the roofing products side. There is a profiles business in there that we got when we bought the roofing business, which has the lower margin profile. And certainly as we implement COS and other things we expect that to improve. But the profile business to best way to think about that is if you think about the rubber strip below your garage door, it prevents the snow from blowing in or whatever, that's a profile. It's molded for that application and that's what they do.
Ivan Marcuse – NorthCoast Research: Got it, okay. And then you talked about Hawk that you are ahead there in costs savings or synergies. What have you realized to-date and what sort of are your expectation now, now that you have been able to run the business for the past couple of quarters?
David Roberts: Well, Ivan, consistent with what we have talked about in the past, when we made the acquisition we identified that close to $20 million in savings that we thought we would realize about a two year period. $6 million of those related to the take out of those public company expenses and we have been successful on eliminating those costs very much on plan. And the other $14 million or so would be achieved over that 24-month period and we are maybe slightly ahead of that pace. But with all of the demand that we are experiencing some of the eventual consolidations have really been put on pause. So I would say, the way I look at this that we are very much inline with where we had projected our savings to be from the outset.
Ivan Marcuse – NorthCoast Research: Got it and then my last question is, you mentioned that you expect total sales to be up in the mid 20% for the year. How much of that is organic?
Steve Ford: I would think that the split is going to be very similar to what we saw in the first half of the year. I think Hawk will add 10% or so to growth. PDT will be $25 million to $30 million and the remainder would be organic growth obviously some price in there.
Ivan Marcuse – NorthCoast Research: Okay, great. Thanks for taking my questions.
Steve Ford: You are welcome
Operator: Thank you. Your next question comes from Wendy Caplan with SunTrust.
Wendy Caplan – SunTrust: Thank you. Good morning.
David Roberts: Good morning.
Wendy Caplan – SunTrust: Steve, can we talk a little about cash flow for the year, your expectations and obviously working capital is looking fine. How should we expect working capital for the balance of the year and I guess that’s my first question.
Steve Ford: Well, there is a lot of seasonality in our business and in particularly when you are comparing our receivable balances as of the end of the year, where they are at June 30. Obviously the receivables that we reporting at the end of the year that reflects November and December sales, which are low sales months for us and the June 30 amounts reflecting our main and June sales, which our high sales month for us. That will come down significantly in the second of the year and we will have significant cash flow generation in the third and primarily in the fourth quarter and we are forecasting for the full year that we will convert cash at or above 100%.
Wendy Caplan – SunTrust: Okay.
David Roberts: Wendy, one of things that as we look at the business the DSO is just above where it was, I think we are one day further out and that our international business was up 80% in the first half of the year and generally terms global year longer than what they are in the U.S.
Wendy Caplan – SunTrust: Sure.
David Roberts: Because that had some impact on it, but as Steve said we frankly collect our cash in the second half of the year and we don’t see anything to change this.
Wendy Caplan – SunTrust: Okay. That was my question. And the issues with Jackson should as we think about it, can you give us a little more specificity in terms of the nature of the issues there. I mean is it simply start up, is it continued redundancy I mean how should we think about that?
David Roberts: Yes, there are couple of things, when you first of getting the tire builders up to speed basically their efficiency is still much lower than we anticipated we be by now. We hired a number of new people that we trained as tire builders. So, taking more longer to get up to speed and building a tire. The second thing is that the scrap rates are up. We didn’t anticipate the scrap rates to be at the level they are. And in the third thing as we thought we would have mixer online by now. We are actually mixing in our other ETM plant, so we are getting mixed product out of Greenville, which is our Construction Materials business and some is also coming out of Clinton, so we got transportation costs and so on until we get the mixer up and running, which should be later in this quarter very early in the fourth quarter.
Wendy Caplan – SunTrust: And that’s $6 million that you are now saying, you think it will cost you could that be conservative number as well or how should or more aggressively?
David Roberts: I think it’s fairly realistic it could honestly it could go slightly higher than that. It really depends upon the mixer and how fast we get it up and running, but its not going to be dramatically higher than that.
Steve Ford: Wendy, there is two numbers there are sort of start up restructuring expenses and for the full year we are forecasting those at about $3.4 million.
Wendy Caplan – SunTrust: Okay.
Steve Ford: And then in addition to that is the $6 million of inefficiencies. So, we are talking almost $10 million of the sort of cost at Jackson and we were anticipating having significant savings this year from our restructuring efforts at Jackson. We are not realizing those savings. So it's having a big impact to what our planned results were for this business.
Wendy Caplan – SunTrust: Do you essentially just move our expectation to 2012 year that?
Steve Ford: Yes, we still think there are $16 million in savings that we will realized from this facility. Again we thought we will get $8 million of this year and $8 million of the next year and now we really kind of pushing everything out to 2012 and 2013.
Wendy Caplan – SunTrust: Okay. And that still $8 million – $8 million is kind of how we should think about in ‘12 and ’13?
Steve Ford: Well, we think maybe a little bit more in ‘12 and then ’13, but I mean to keep it simple $8 million-$8 million it is probably another fair way to look at the other way?
Wendy Caplan – SunTrust: Okay. And then on your margin bridge, the other op piece, can you tell us what’s in there?
Steve Ford: Yes, I mean that is I guess some of that is this Jackson inefficacy, some of this is mix again related to the Transportation Products business we really did not have product to service the aftermarket and we had some mix issues. And then also it was about $2 million inventory reserve that we took at that segment. So, most of that was a negative impact to that Carlisle Transportation Products segment.
Wendy Caplan – SunTrust: Okay. And your expectation in terms of the mix should reverse itself on next year?
David Roberts: Yeah, next year and at the end of this year, Wendy. What happen is that as the OE starts to wind down for the season, we changed our production to aftermarket and that’s usually what occurs in the third and the fourth quarter.
Wendy Caplan – SunTrust: Okay. Thank you very much.
David Roberts: You’re welcome.
Operator: Thank you. (Operators Instructions) And our next question comes from Stuart Benway with Standard & Poor’s.
Stuart Benway – Standard & Poor’s: Yes, good morning. In your roofing business you talk about your global initiatives helping sales somewhat. What are you referring there? What countries are you expanding into?
David Roberts: Well, we’re certainly still selling in the Middle East, in Europe, and in Asia. So, growth is coming across the entire globe. Basically there is nothing specific in a given region. It’s just the focused effort in rest of the world that we’re attempting to sell product into.
Stuart Benway – Standard & Poor’s: What do you say your overseas sales are as a percentage of total sales in that business?
David Roberts: 10%.
Stuart Benway – Standard & Poor’s: 10%.
David Roberts: Right, and that will go up $100 million worth of acquisition of PDT.
Stuart Benway – Standard & Poor’s: Right. I think in the past you've viewed the FoodService business as a growth business. Do you think that’s delayed now, or do you still feel that way about that segment?
David Roberts: Yeah, I think that business once volume comes back in restaurants, it certainly will be back to a growth rate probably slightly above GDP. Really what we are dependent upon is new restaurants being built and there is just not a lot of activity out there for that to happen. So, that really is the driver of growth greater than GDP in that market.
Stuart Benway – Standard & Poor’s: You also said that, I think, healthcare is important there, I mean how do you break it into down as far as importance? I mean what percentage of each one, roughly I mean is it half and half or?
David Roberts: No, healthcare is about third of that business, the remainder is core FoodService. We break our FoodService, core FoodService down into foodservice and jan/san, but combined it’s about 70% of the total between the two and they are selling to the same market basically.
Stuart Benway – Standard & Poor’s: And as far as corporate expense goes, it’s been up so far this year. Do you expect it to continue to turn this year?
David Roberts: Yeah, in the second quarter year-over-year expenses were up almost $3 million. I mean half of that related to an acquisition initiative where we were a finalist, spent a lot of money to get there. Ultimately we are not the successful bidder, but we incurred about a 1.3 million in expenses and that’s reported at corporate. There is some foreign exchange that was beneficial last year, that was negative this year, that had a negative impact in the quarter of about $1 million, and we’ve had some management and employee development initiatives that we’re incurring the expense at corporate. This quarterly the expenses were high, again anticipate the foreign-exchange were the acquisition related expenses to repeat. And so, I do think we will see that number come down in the third and fourth quarters.
Operator: Thank you. Your next question comes from Deane Dray of Citi Investment.
Jessica Mullin – Citi Investment: Good morning. This is Jessica Mullin on for Deane. Thanks for taking my questions. Just talking about the M&A pipeline a little more, can you give any more color? I know you just did the PDT acquisition, what’s in store for the rest of the year and what kind of assets are out there?
David Roberts: Yeah, Jessica, we think that there are still some opportunities for us. As we’ve stated in the past, we continue to look in the braking business and also in the interconnect technologies area. I would think that if you would see anything that we would acquire would be in either of those two segments. Now, the PDT acquisition is not closed yet. We’re waiting for government approval in Germany to go ahead and buy that asset. Frankly, we don’t see that as an issue, but it’s just the formality we have to get through. We expect that to close sometime in mid-August. But, beyond that we think there is probably opportunities in both braking and interconnect technologies.
Jessica Mullin – Citi Investment: Okay, thank you. And you mentioned in CapEx there is some purchase of a trademark in Transportation Products, can you elaborate a little more on that, and if there could be anything close to that point forward?
David Roberts: We have a styled wheel business, the brand was Crager that we didn’t own. We’ve been manufacturing it for years and what we did was buy the rights brand.
Jessica Mullin – Citi Investment: Is there anything else outstanding in that segment going forward?
David Roberts: No, not that I’m aware of, no.
Jessica Mullin – Citi Investment: Okay, thank you.
Operator: Our next question is from Rob Crystal with Goldman Sachs.
Rob Crystal – Goldman Sachs: I just want to make sure I understood the difference between the startup cost and inefficiencies at Jackson from sort of Q1 to Q2. I don’t know if you have a bridge that you can do for that form.
Steve Ford: In Q1, we had Jackson inefficiencies of about $2 million and in Q2 we had Jackson inefficiencies of about $3 million and with respect to restructuring expenses in Q1 it was about $2 million and in Q2 it was about $1 million.
Rob Crystal – Goldman Sachs: Great. Thank you very much, Steve.
Operator: Thank you. You have a follow-up question or comment from with Ivan Marcuse with NorthCoast Research.
Ivan Marcuse – NorthCoast Research: Hey, guys. I have a quick question on the Interconnect Technologies. With the ramp up of Boeing and, I guess, more airplanes going to Wi-Fi, would you expect to sort of this mid teen revenue growth year over year for next few quarters and also the possibility to sort of maintain in the second quarter or do you expect that to track down a little bit going into the second half?
David Roberts: Yeah, Ivan I would expect that we continue the trend that we saw in the first half of the year both in sales growth and in margin growth. I think we exceeded that 15% that we set as a goal for the business this year and I would certainly expect that we would run above that 15% going forward.
Ivan Marcuse – NorthCoast Research: On both the revenue and profitability or are you talking specifically…
David Roberts: On profitability currently, but certainly revenue growth, we are just starting to see some shift sets for the 787 and they are getting to a point where they are delivering aircraft and I would expect at least 15%, may be slightly higher in the revenue growth area.
Ivan Marcuse – NorthCoast Research: In the back half of the year?
David Roberts: Yes.
Ivan Marcuse – NorthCoast Research: And would you expect that to continue to track into 2012?
David Roberts: Yeah, I would think, if you look at the Interconnect Technologies business, I think the trends that we’re seeing today, these are not just short-term trends. I think they will continue to certainly over we expect 2012 and I would hope that would carry into 2013.
Ivan Marcuse – NorthCoast Research: Okay, great. Thank you for taking my questions.
Operator: Thank you. There are no further questions in queue. I will now turn the call back to Mr. David Roberts.
David Roberts: Thank you. Just to wrap up here, despite raw material pressures, some of the startup problems that we’re continuing to have at Jackson then a sluggish FoodService business, we all remain very optimistic for our outlook for the remainder of the year and actually as I just said to Ivan into 2012. Second quarter was a good quarter, despite some challenges. Our Hawk acquisition continues to perform at very high level and the addition of PDT really gives the foothold in Europe that we’ve been looking for over the last four years in Construction Materials. We've got a very solid manufacturing base for single ply roofing with PDT along with the distribution channel that actually offers us an opportunity to sell not only their products but our products. We think margins will improve certainly in the profile business and you will see that that break down as we get into the third quarter when we release third quarter information. But this is frankly a very good business that we’re buying. CIT has come off great quarter and this will only get better if sales increase over the next 12 to 18 months. I mentioned just earlier that 787 is ramping up and the demand for legacy aircraft is very strong. This is a market dynamic that should really drive this business in the foreseeable future. The braking business is and will enjoy strong demand for their products as our customers continue to have backorders and book orders for mining, construction, and agricultural equipment worldwide. So, we are still very optimistic about the breaking business. As I stated on the call raw material will continue to be a challenge for us. We’re not quite sure if it’s leveling at this level or is it a pause and it’s getting ready to ramp up, but we think that price will begin to offset some of the raw material, particularly in the Construction Materials business as we go into the remainder of the year. Startup at Jackson has taken much longer than we planned, but frankly this is a temporary situation. It will get to a point where we’re supposed to be and we think 2012 will be a very good year in the not of all of Carlisle, but also in the Transportation Products area. Frankly, the rest of 2011 still looks pretty darn strong. We’ll get through the Jackson situation and frankly we think we’ll have decent results for the remainder of the year. So, with that I want to thank you for attending our second quarter 2011 earnings call. Operator, you may now end the call.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.